Operator: Welcome to Masonite's Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded. I would now like to turn the call over to Rich Leland, Vice President, Finance and Treasurer. Please go ahead, sir.
Rich Leland : Thank you, and good morning, everyone. We appreciate you joining us for today's call. With me here this morning are Howard Heckes, President and Chief Executive Officer; and Russ Tiejema, Executive Vice President and Chief Financial Officer. Also joining us today for Q&A is Chris Ball, our President of Global Residential. We issued a press release and earnings presentation yesterday reporting our fourth quarter 2022 financial results. These documents are available on our website at masonite.com. Before we begin, let me remind you that this call will include forward-looking statements. Each forward-looking statement contained in this call is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears in the section entitled Forward-Looking Statements in the press release we issued yesterday. More information about risks can be found under the heading Risk Factors in Masonite's most recently filed annual report on Form 10-K and our subsequent Form 10-Qs, which are available at sec.gov and at masonite.com. The forward-looking statements in this call speak only as of today, and we undertake no obligation to update or revise any of these statements. Our earnings release and today's discussion include certain non-GAAP financial measures. Please refer to the reconciliations, which are in the press release and the appendix of the earnings presentation. Our agenda for today's call includes a business overview from Howard, followed by a review of the fourth quarter results by Russ. And then Howard will provide some closing comments, and we'll begin a question-and-answer session. And with that, let me turn the call over to Howard.
Howard Heckes : Thanks, Rich. Good morning, and welcome, everyone. Turning to Slide 4. We I'm pleased to report that 2022 was another year of significant growth for Masonite. Full year consolidated net sales increased 11% year-over-year, while adjusted EBITDA was up 8%. Adjusted EPS grew 19%, driven by both an increase in earnings as well as the impact of share buybacks executed throughout the year. We also delivered a 400 basis point improvement in return on invested capital, reaching an impressive 18%. Our North American Residential segment led the way with a strong year, year-over-year 17% increase in net sales and 23% increase in adjusted EBITDA for the year. While consolidated adjusted EBITDA margins contracted 50 basis points due to the impact of inflation and volume deleveraging in our architectural and Europe segments, adjusted EBITDA margins in our North American Residential segment expanded by 100 basis points. Price cost management was key to achieving both top and bottom line growth in 2022. When we entered the year, we did not anticipate that we would soon experience dramatically higher inflation and continued supply chain disruptions, significantly higher interest rates and economic turmoil in Europe. We took actions to limit inflation where possible and work with our channel partners to increase prices in a timely manner, aligned with our disciplined price/cost management philosophy of capturing fair value for our products. We are fortunate to have an experienced team that was able to adapt to the changing environment from an operating perspective, while maintaining focus on execution of our doors that do more strategic initiatives and delivering financial results within our original guidance. During the year, we were successful in growing the mix of solid core and on-trend door designs within our overall interior door portfolio, as well as the mix of fiberglass doors within our overall exterior door portfolio. We have also added incremental production capacity for these products in order to support future growth. In 2022, we began commercialization of our award-winning M-Pwr smart door and in the new construction market. Our retail partners at the Home Depot recognize the value of this innovative product and will make the M-Pwr door available nationwide later this year. We also launched the Masonite performance store system featuring superior protection against the elements versus the leading competitor. These new premium fiberglass exterior door solutions have generated a tremendous amount of positive publicity for Masonite and positioned us as an innovator in the space. Our vision of unlocking the value of fully integrated door solutions was also key to reaching a deal to acquire Endura Products, a leading innovator and manufacturer of high-performance door system components. Endura has been a supplier of Masonite for over 25 years, and we partnered with them to develop both Empower and the Masonite performance door system. For those of you who had the opportunity to visit the Endura Products booth at the International Builders Show earlier this month, I am sure that you now have a better understanding of the critical role that highly engineered components can play in the overall performance of a door system. We are excited about future innovations that will come from this acquisition as a key part of our strategy to drive specified demand and product leadership in the market. Likewise, we're encouraged by the progress we made in 2022 on initiatives related to delivering consistent and reliable supply. During the year, we completed over 3,000 continuous improvement Kaizen events as part of our MVantage program and further diversified our global supply chain to make it more resilient. We also modernized our production network with 2 new plants that will allow us to service our customers with greater efficiency and flexibility. We expect these new plants to become an increasingly important part of our production network as we ramp up their production volumes. Let's turn to Slide 5. Despite 3 years of significant unforeseen macroeconomic challenges, our team has been able to maintain a track record of consistent performance and impressive double-digit growth across key financial metrics. Our 3-year compound annual growth rates at the end of 2022 for net sales and adjusted EBITDA were 10% and 16%, respectively. Meanwhile, adjusted EPS had a 39% CAGR and the growth rate for ROIC was 29%. As I've said before, our team is tightly aligned around a clear doors that do more strategy, focused on operational excellence, product leadership and engaging with customers to enhance the value of the Masonite brand. These financial results indicate that our strategy is taking us in the right direction, and I'm confident that the changes we are making to the company will have lasting benefits. In the short term, however, conditions are likely to remain choppy, and we will need to remain agile in order to continue this strong performance, while the housing market works its way through a period of more significant demand headwinds. On Slide 6, we have outlined some high-level assumptions we're making about the market for this year and into 2024 and '25. Through 2023, we expect end market demand to be lower due to the economic impact of steep inflation and higher mortgage interest rates we have seen over the past year. Given these conditions, we're planning for U.S. housing starts to decline by approximately 20% to roughly 1.2 million units in 2023. And we could also see high single-digit decrease in the repair, remodel and replacement or RRR market. In the U.K., we are assuming that strong macroeconomic headwinds we see today will remain for the majority of the year. During this period, we believe latent demand in each of our markets will continue to grow as people wait on the sidelines for more predictability in interest rates and housing prices. As economic conditions stabilize, we expect the housing market to return to growth. Factors such as continuing housing supply deficit, the aging housing stock and elevated home equity should support a rebound to more normalized levels of new home construction and RRR market growth in both North America and the U.K. We anticipate this rebound will start sometime between the second half of 2023 in the first half of 2024. In the meantime, we are moving proactively to adjust our cost structure as a means to both protect our margins near term and position the company for meaningful margin improvements when demand recovers. Turning to Slide 7. We have developed a detailed 2023 playbook with actions designed to offset volume deleveraging, preserve margins and drive free cash flow while continuing to selectively invest in strategic priorities to fuel growth. The first part of our playbook is focused on efficiency and margin initiatives. Disciplined price cost management has been a hallmark of our operating strategy. We have successfully increased our prices steadily in recent years, yet our research shows that homeowners still expect to pay more for doors than what they actually pay in the market today. We are committed to capturing fair value for our products regardless of the business cycle or macroeconomic environment. At the same time, we are also focused on maximizing benefits from the cost side of the equation wherever possible. We have started to see early signs of moderating inflation on certain materials and logistics costs, and our sourcing team is working aggressively to capture these benefits as we move through the year. We have a highly variable cost structure and our operations team are working to flex labor costs with volume while also identifying areas to trim fixed overhead wherever possible. This cost discipline will extend the SG&A as well. As we scrutinize spending while protecting investments to maintain our momentum for important growth initiatives. As we announced in late December, we have started executing a restructuring plan to better align our commercial organization structure with the long-term business strategy and continue to drive cost efficiencies through an optimized manufacturing footprint. In total, we expect our restructuring initiatives to yield between $15 million and $20 million of annualized cost savings without impacting our ability to deliver outstanding service levels and ramp up production capacity when needed. And since closing the acquisition of Endura in early January, our integration teams have been working quickly to implement plans to capture synergies. We continue to expect the majority of the $8 million of cost synergies identified during due diligence can be achieved in our first year of ownership. The second part of the playbook, summarized on the right-hand side of the slide, includes key initiatives that will ensure we continue to position ourselves for longer-term growth with progress on each of the 3 pillars of our doors to do more strategy. These 3 pillars, as you may recall, align our teams around winning the sale with brand leadership and strong channel relationships, driving specified demand with product leadership and consistently delivering reliable supply. With respect to winning the sale, we are realigning our commercial resources to engage more deeply with our channel partners and increase our focus on joint business planning, category management and customer experience. In the area of product leadership, we will continue our efforts to drive mix by increasing the awareness and availability of our higher-value products and developing solutions that make life and living better. We also plan to leverage the newly-acquired talent and know-how from Endura to accelerate the development and commercialization of new products. Finally, our work to establish ourselves as a supplier of choice in the market by delivering reliable supply of high-quality products remains relentless. In 2023, we will continue to implement MVantage continuous improvement projects aimed at taking our service levels to new highs. We fully anticipate 2023 to be another volatile year but expect that execution of this playbook will allow us to maximize our financial performance in the near term while enhancing our competitive position and optimizing the business to capture the benefits of rebounding volumes at even higher margins in the longer term. With that, I'll turn the call over to Russ to provide more details on our fourth quarter and year-to-date financial results as well as our 2023 outlook. Russ?
Russ Tiejema: Thanks, Howard. Good morning, everyone. Turning to Slide 9, I'll start with an overview of our fourth quarter financial results. We reported net sales of $676 million, up 6% as compared to the fourth quarter of 2021. The growth was driven by a 16% increase in AUP, which included positive impacts from both price and net. This increase was partially offset by a 7% decline in volume and a 3% decrease from unfavorable foreign exchange. Gross profit increased 6% in the quarter to $143 million, and gross margin remained flat year-over-year at 21%. And with higher AUP offsetting the impact of lower inflation -- I'm sorry, lower volume and inflation. Selling, general and administration expenses were $88 million, up 35% year-on-year, primarily due to higher wages and benefits as well as people investments to support strategic growth projects. SG&A as a percentage of sales was 13.1% in the quarter. Fourth quarter net income was $31 million compared to a $25 million net loss in the fourth quarter of 2021. The improvement resulted primarily from higher gross profit as well as the absence of charges incurred in the fourth quarter of 2021, including $60 million related to goodwill impairment in the Architectural segment and a $23 million pension settlement charge. These benefits were partially offset by the higher SG&A just noted. Diluted earnings per share were $1.38 compared to a loss of $1.06 in the fourth quarter of last year. Adjusted earnings per share were $1.72, down 14% compared to the fourth quarter of 2021. Adjusted EBITDA in the quarter decreased 4% to $91 million, while adjusted EBITDA margin declined 150 basis points to 13.5%, as continued strength in the North American residential business was offset by headwinds in the Europe and Architectural segments. Among the year-on-year drivers of adjusted EBITDA performance, shown here on the right-hand side of the slide, you can see how the strong positive contribution from AUP and was offset by the negative impact of significant material cost inflation, volume deleveraging impact on factory and distribution costs and higher SG&A. Regarding material costs, we did start to see inflation moderating in some categories for purchases made in the fourth quarter. However, we did not realize these benefits in the P&L as we continue to work through higher priced inventory on the balance sheet, a trend that is likely to continue through the first quarter. Let's turn to Slide 10 for a review of our North American Residential segment. Fourth quarter net sales increased 7% to $528 million. on strong price and mix. Total AUP growth was up 16%, inclusive of 3 points of positive mix. Volume, however, decreased 7% year-over-year, driven primarily by softening end-market demand in our wholesale channel. We witnessed some additional inventory destocking in the wholesale channel during the quarter, although it was modest in comparison to the third quarter. In the retail channel, we saw a linked quarter decrease in demand driven by softening point of sale, but as yet, we have not seen any significant inventory destocking in retail. Adjusted EBITDA was $94 million in the quarter, up 6% from the same period last year, with an adjusted EBITDA margin of 17.8%, virtually unchanged despite volume deleveraging. As part of the restructuring plan announced at the end of the quarter, the management team in our North American Residential segment began a reorganization of manufacturing operations and the commercial team. These changes are intended to more efficiently service our customers with greater emphasis on category management and joint business planning. We expect to start benefiting from the positive financial impact of this restructuring work in Q2 of this year and we expect to substantially complete all planned restructuring actions by the end of the year. As Howard mentioned, we closed on the Endura acquisition on January 3 of this year, and their financial results will be included in reporting for the North American Residential segment starting in Q1. The integration is in full swing, and we have more than a dozen functional teams working to onboard the new business and share best practices in areas such as environmental health and safety, advantage continuous improvement, sourcing and product development. Howard and Endura President, Bruce Bracken, who has stayed with the company post acquisition, have already met with many of our customers to discuss the acquisition and the opportunities we see to innovate and grow as a combined company. Turning to Slide 11 and our Europe segment. Net sales of $61 million were down 18% year-on-year or down 5%, excluding a 13 percentage point headwind from unfavorable foreign exchange. AUP grew 6% on price increases and surcharges we previously put in place to offset inflationary pressures on the business. Volume, however, decreased 11% in the quarter. The ongoing economic headwinds in the U.K. contributed to weaker-than-expected demand in the RRR market, and we did not experience the seasonal bump in exterior door sales around the holidays that we normally see. In addition, a raw material supply issue constrained production of some of our higher-value interior doors, further impacting volumes and muting our AUP increase. Adjusted EBITDA for the segment was $4 million in the fourth quarter, down 58% year-over-year, with an adjusted EBITDA margin of 7.4%. We made good progress on SG&A, overhead and material cost reduction initiatives in the fourth quarter as planned, but these improvements were more than offset by the impact of deleveraging and exacerbated by the volume reduction being most pronounced amongst our higher AUP products. In 2023, our team in Europe is staying focused on 2 key areas of improvement. Additional rightsizing of costs to match end market demand and maximizing material cost savings by proactively managing the European supply chain. Moving to Slide 12 and the Architectural segment. Net sales increased 30% year-over-year to $83 million, driven by a 29% increase in AUP and a 3% increase in volume. The increase in AUP came from both price taken to offset inflation as well as mix benefits driven by increased shipments of higher AUP project work. The segment returned to volume growth in the quarter with the quick ship business performing well. Our continuous improvement initiatives are helping to reduce complexity and order backlogs. However, we still have not reached the production levels necessary to cover fixed costs and therefore, adjusted EBITDA was a slight loss for the quarter. We are targeting $5 million of cost-cutting initiatives in the Architectural segment this year, including actions taken as part of our restructuring plan implemented at the beginning of January. The sales and volume improvements in this segment were certainly positive developments. However, returning the segment to a reasonable level of profitability is taking longer than anticipated, and we are now actively exploring strategic alternatives for the business. We expect to have a better understanding of the possible courses of action in time for our next earnings call and hope to share more information with you at that time. Let's move to Slide 13 to recap our full year financial results for 2022. Net sales for the year were up 11% due primarily to AUP growth of 18% and partially offset by a 4% decline in volume, a 2% decrease from unfavorable foreign exchange and a 1% decrease from a combination of lower component sales and the impact of a divestiture in the Europe segment in the second quarter of 2021. Gross profit of $674 million represents an increase of 10% over the prior year. while gross profit margin declined slightly to 23.3%, down 30 basis points as the benefit of improved gross margins in the North American Residential segment was more than offset by the margin contraction caused by inflation and volume deleveraging in the Europe and architectural segments. Selling, general and administration expenses were $345 million, up 12% compared to last year, but flat year-on-year as a percentage of net sales at 11.9%. Net income was $214 million for the full year, an increase of 127%, while diluted earnings per share were $9.41 up 144% and adjusted earnings per share increased 19% to $9.73. Full year adjusted EBITDA increased 8% to $446 million, while adjusted EBITDA margin contracted 50 basis points to 15.4%. On the right side of the slide, we provide a full year adjusted EBITDA bridge, which clearly illustrates the extent of the price cost management that was required this year given the magnitude of inflation that materialized across the P&L but most notably in material costs. Inflation on raw materials and inbound freight was approximately 20% for the full year, far exceeding the low to mid-teens rate we expected at the beginning of the year. Moving to Slide 14, we have a summary of our liquidity and cash flow performance as of year-end 2022. Our total available liquidity was $888 million at the end of the fourth quarter inclusive of unrestricted cash, our upsized ABL facility and accounts receivable sales program and a $250 million term loan facility that was put in place in the fourth quarter to fund the Endura acquisition, which was ultimately utilized upon closing the transaction in early January. Full year cash flow from operations was $189 million as compared to $156 million in 2021. The year-over-year increase is largely attributable to lower use of cash required to fund working capital. Capital expenditures for the full year 2022 were approximately $114 million, up from $87 million in the prior year, driven by incremental investments in our new plants and capacity enhancements for the production of higher value-added products that we expect to drive ongoing mix improvements. During the fourth quarter, Masonite repurchased approximately 124,000 shares for $9 million at an average price of $76.58. For the full year, we repurchased approximately 2 million shares, slightly over 7% of total shares outstanding were $149 million. On Slide 15, we provided our consolidated full year outlook for 2023 based on our current viewpoint of various end market factors that Howard outlined earlier. We are focused on efficiency and margin initiatives across the business as well as efforts to drive significant free cash flow improvements to preserve our capital deployment flexibility including continued investment in areas such as operational capability and product leadership, which will be valuable in positioning Masonite for further revenue and margin growth when demand strengthens. As a reminder, our planning assumptions in North America include U.S. new housing to decline by approximately 20% and triple our volumes to decline by high single digits. In the U.K., we are planning for a weak economic backdrop to continue throughout 2023. Blunting near-term residential construction investment despite an aged existing housing stock and underbuilt new housing sector. We believe these factors could result in a mid-teens decrease in organic volume year-over-year in both our North American and European markets. For the Architectural segment, we are assuming that we will achieve volume growth in 2023 as we continue to improve throughput in our architectural door assembly plants. At a consolidated level, we expect to benefit from a low single-digit AUP tailwind driven by carryover benefits from our 2022 pricing actions as well as positive product mix. That said, while we will continue to invest in various sales and marketing initiatives to drive mix in 2023, and -- it is possible we could see partially offsetting headwinds related to relatively stronger sales into multifamily construction in the U.S., where lower priced doors are more prevalent. FX headwinds are expected to have a negative 1% impact on net sales with a more pronounced impact in the first half of the year before easing in the second half. In total, we expect overall net sales to be flat to down 5% in 2023 or down 7% to 12% when excluding the impact of the Endura acquisition and foreign exchange. Turning to adjusted EBITDA drivers for 2023, we anticipate that material costs will decline modestly driven by ocean freight. Although we were unlikely to recognize savings until the second quarter, once higher cost materials are consumed for inventory. For the year overall, we anticipate material costs inclusive of inbound freight to decline low to mid-single digits, heavily weighted toward the second half of the year. Inflationary pressures are expected to continue in other parts of the business, such as wages and benefits and various factory overhead costs. which collectively are likely to be up low to mid-single digits in 2023. These higher costs as well as the impact of some strategic investments planned in our factory and distribution operations will be partially offset by savings from our restructuring and cost actions. Based on this cost overlay to our net sales outlook, we expect adjusted EBITDA to be in the range of $415 million to $445 million, yielding a consolidated adjusted EBITDA margin that is essentially flat year-on-year despite the impact of volume deleveraging. With respect to margin cadence across the year, we expect adjusted EBITDA margins to be down meaningfully year-over-year in the first quarter against a very difficult comp, reflecting lower gross margins as we clear higher cost raw material from inventory while seeing only modest benefit from our cost management playbook and restructuring actions. These initiatives will bear incremental fruit as we progress through the year, yielding first half margins that are down modestly and second half margins, which are up modestly year-on-year. On a segment basis, we expect that our core North American Residential segment will continue to be the primary driver of margin resilience for the full year, although pressured in the first quarter for the reasons I just noted. Adjusted EBITDA margins in Europe are now expected to face further pressure as a result of volume headwinds and be in the high single digits for the year. And architectural results are expected to show modest but steady improvement across the year. Based on an assumed tax rate of approximately 25%, higher interest costs of approximately $60 million, reflecting incremental financing for the Endura acquisition, and approximately 22.8 million shares outstanding, we expect that full year adjusted earnings per share in 2023 will be in the range of $7.25 to $8.25. We expect cash taxes in 2023 to range from $60 million to $70 million, and for capital expenditures to be between $100 million and $115 million, inclusive of investments in our new Endura business. Free cash flow generation will be a major priority for us in 2023, and key to this effort will be our ability to drive a reduction in working capital. As such, we have already initiated several work streams aimed at reducing inventories and optimizing our performance with respect to payables and receivables. On the basis of these assumptions for adjusted EBITDA in these key cash flow drivers, we anticipate 2023 full year free cash flow in the range of $220 million to $250 million, yielding a free cash flow conversion ratio of at least 125%. And with that, I'll turn the call back to Howard for closing comments.
Howard Heckes: Thanks, Russ. In summary, I'd like to thank all of our Masonite employees around the globe for their dedication and hard work in 2022. And I am very pleased with the team's ability to execute with agility and deliver growth. I'm particularly proud of the fantastic financial results we delivered in our North American Residential segment. The tight alignment of our experienced team around our doors that do more strategy has played a key role in helping us deliver double-digit compound annual growth through 3 years of market volatility, while building on our position as a supplier of choice. I am encouraged by the speed at which we are moving on the Endura integration and excited to be working together now as one company to bring innovative new door solutions to market. In 2023, we're hitting the ground running with a detailed playbook for becoming a leaner, stronger business, focused on reducing costs, maintaining margins despite volume deleveraging and unlocking free cash flow. I believe these actions will position us for additional margin growth when demand ultimately rebounds. And finally, we are excited to take the next steps in our doors that do more journey towards best-in-class reliable supply, product leadership and customer engagement to deliver -- to continue creating long-term tangible value for our channel partners, for homeowners and for our investors. Now I'd like to open the call to your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Michael Rehaut with JPMorgan.
Unidentified Analyst: This is Andrew on for Mike. I wanted to ask if you could speak to the year-to-date demand trends across your segments and channels?
Howard Heckes: Sure, Andrew. This is Howard. I'd say that not much has changed year-to-date from the fourth quarter. If things look very similar to the fourth quarter relative to volume, and I'd say in the ballpark with our guidance. We're comping in our first quarter last year was the best quarter of the year by quite a long shot. So the comps are pretty difficult. But generally, it looks a lot like the fourth quarter so far.
Unidentified Analyst: Okay. Great. And then if -- I wanted to ask -- what are you currently seeing in terms of backlog and any type of forward visibility that provides?
Howard Heckes: There's no real meaningful change in backlogs. I think our lead times are consistent within our normal operating parameters and backlogs are steady. There's really no -- Chris, I don't know if you have anything to add?
Russ Tiejema: Yes, I think that’s right.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets.
Mike Dahl: A lot of helpful detail. Also a lot of moving parts for us, particularly on those drivers that you outlined towards the end of the guide. So if I look at it at a high level, you've got the good guys on price and cost outs then you've got material cost, then you've got some remaining inflation. You've got some investments, you've got some potential mix headwinds. When you balance those out, getting to the flat-ish margins, is that really a function of at the end of the day, is price and the cost outs offset the volume growth and then some of these other things, mix, other investments other inflation are offset by the material costs? Or any additional help walking us through that bridge that you already outlined would be great.
Russ Tiejema: Sure. Okay, Mike. Yes, it's Russ. Let me take a shot at it. I think I can probably give you a fair bit of color that will help you think through the dynamics, particularly for the North American residential business. That's obviously, the core earnings engine for the company. If we step back and look at each of the segments, again, high level, North American Residential for the year, we would expect to deliver net sales that's down low single digits, including Endura. And they'll deliver a flat margin, we believe, despite the impact of volume deleveraging and some dilution from Endura. On the Europe segment, we're expecting that net sales, excluding FX, are going to be down, call it, high single digits to low double digits, and they're going to be in that high single-digit margin, as I mentioned during my prepared remarks. And then Architectural, we're expecting net sales to be up modestly and they're going to continue to show operational improvement through the year such that we're planning for, call it, a mid-single-digit margin for the overall year. So that's kind of the headline view of each of the segments. Let me double-click a little bit on North America, and I think that will help walk you through some of the drivers and how they pass through on the bottom line. So recall for North America, we said that our planning assumptions are around residential new construction down about 20% and RRR down about high single digits. Blended, that would equate to, call it, a mid-teens volume decline in the business. Offsetting that is low single digits of average unit price. That's going to be a combination of carryover pricing from '22 and some mix tailwinds. That together would indicate organic net sales down, call it, low double digits. Then you add in Endura, which Endura is likely going to be down a little bit year-on-year also just because they'll be facing the same end market headwinds that the broader business is. But inclusive of Endura, you would end up with net sales in the North American residential business for the year that are down modestly, call it 1 point or 2. Now how does that pass through on the EBITDA line? We're predicting that decrementals on that volume loss are going to be in the 30% to 35% range. AUP a majority of that is going to drop through, but not all of it because there is some mix element in there. It's not all pure price. As I commented earlier, material deflation for the overall year is expected to be low to mid-single digits. And again, think about that as against a material basket that's circa 40% of net sales. And then you've got a number of inflationary pressures in the rest of the business. Factory overhead accounts, wages and benefit for our labor, that's going to present an incremental headwind. That's going to be offset in part by some of our restructuring savings, but not fully. You walk all that down and you'll get to an EBITDA number for North American res that's also down just modestly year-on-year. And so you're looking at flat margins. Those are the planning assumptions that we've made into the guide. Does that help?
Mike Dahl : Yes. That's incredibly helpful. for that level of detail. Great. And then my second question, I mean, look, there's a lot of encouraging trends early on about Empower, and I know there's a lot of excitement there. Especially as you look at that full nationwide rollout in the second half, you do -- your hardware provider on the lock side, is kind of in process of being acquired by a competitor. How are you thinking about contingency planning around potential outcomes there? And does that play into that rollout at all? Because I think that second half timing pretty much coincides with when the ownership changes on that particular provider. Any thoughts on that?
Howard Heckes: Yes. Sure, Mike. This is Howard. As you say, the Gale’s been a value partner with the launch of Empower Generation One. Obviously, there’s nothing that fundamentally limits us from using other smart lock systems into new generations of Empower. And really, that’s dictated by customer demand. And in fact, some of the key learnings as we’ve gone out and reached out to builders because of their contracts and relationships with other lock brands. So we certainly are able to do that. But at this point, we have a good relationship with Yale, and we obviously don’t see any reason for that to change. So we have flexibility, and we like our partnership with Yale.
Operator: Our next question comes from Trey Grooms with Stephens.
Noah Merkousko: This is actually Noah Merkousko on for Trey. First, I wanted to zoom in on some of the mix benefits in North America residential. Clearly, it sounds like last year, there was some benefit there, which I think it was 3% in the quarter. And you're assuming some of that continues into 2023, but you also highlighted the risk that relative strength in multifamily could bring. So I guess, is that multifamily risk included in the low single-digit AUP guide? And then additionally, Now as we think about ultimately, end market demand there slowing. What's the risk that we see consumers start to perhaps potentially trade down and you start reversing the direction of that mix tailwind?
Russ Tiejema: Yes. No, this is Russ. Let me capture the first part of your question. Howard may have some color relative to overall market dynamics as we look ahead on mix. If you step back and look at product mix for the North American Residential segment over the course of 2022, in total, it was on the round about 2 percentage points. But what that reflects is approximately 3 percentage points of positive mix the last 2 quarters. What you're seeing is the benefits of a lot of our product and marketing initiatives that have been focused specifically on driving up the portfolio of mix and shifting our product portfolio from things like fiberglass to steel and from hollow core and solid core doors. We believe those trends will continue, and we've captured that in the guide but not quite to the degree that we have seen in the most recent quarters as a result of this mix headwind that we think could materialize just due to higher relative strength in multifamily versus single-family.
Howard Heckes: Yes. And as far as the trade down, Noah, actually, I think it's the opposite. We're really building this marketing engine. And people after the pandemic became much more aware of the value that doors can provide. And there's notion of hollow core and solid core in the privacy is real. And I hear it all the time from friends and neighbors and anybody else that knows that I'm in the door business. Man, those solid core doors are so much better, and the cost is not significant. That's what's so interesting about our space. So are you going to go out and spend $50 on a hollow core door , $80 or $90 or $100 on solid core door to have a completely different experience in your home. So I think when we begin to make people more aware and the pandemic helped us with that, we're going to see more and more mix shift up to premium doors. The same was true as Russ said for fiberglass versus steel. They are unique benefits. And as we develop systems with Endura that are superior in keeping air and water out or making your home more secure people are going to see that and recognize the benefit, the modest cost premium and there'll be value for that trade up.
Noah Merkousko: Got it. That makes sense, and that's helpful. For my second question, it sounded like in the quarter for North America, that down 7% volume was mostly in the wholesale where you saw some weakness start to creep in on the triple or the retail side. And then that continued here year-to-date. But I guess you mentioned that you haven't really seen any destocking yet in retail. Is that a risk as we look at volume through 2023 that could potentially make the high single-digit decline for that market even worse? And do you have any sense for where channel inventories are right now for retail?
Chris Ball: Yes. Sure, Noah. This is Chris. I’ll take that. So as you said, the new construction or wholesale demand in Q4, we did see some additional destocking. It was less than what we saw in the third quarter. So our view is that on the new construction side, inventories are in line with starts as we start out the year. And we have not seen a correction on the AR side. We’re watching it closely. And as we see consumer demand and we see overall trends in the market, we’re going to be watching it. And there is potential in the back half of the year, but it really depends on customer inventory strategies as well as where the market goes. So we’re watching it. But at this point, we think that what we see and what we’ve guided towards is consistent with what’s going to happen in the market.
Operator: Our next question comes from Steven Ramsey with Thompson Research Group.
Steven Ramsey : Maybe to start with in times like this where it's slower. Do you have an ability to gain share in the retail or wholesale channel and, I guess, maybe compare the current times of slowness to past times and the potential to gain shelf space.
Howard Heckes: Yes, it's a great question, Steven. As we look at the market generally, I'd say there's always puts and takes. So we are aware of any significant -- we're not any lost share. We've chosen to seed some share with certain customers where we don't think that it's good business for us. And we've won business on the other side of things. But when you look at those volumes, I'm speaking specifically about [NARAS]because as Russ said, it's the vast majority of our profitability volumes down 1% on the year, pretty consistent, we believe, with the market. So some puts and takes, and we choose to see share where it doesn't make sense, and we win business on the flip side. So I think that's probably typical with what you'll see going forward as well.
Steven Ramsey: Okay. Helpful. And then builders shift to lower cost or lowering the cost of homes, potentially smaller footprints for affordability issues. Can you talk to this being a mix or volume headwind for your products? And do you have the capacity already in place to ship with the builders should they make bigger moves in the next 12 months.
Howard Heckes: Yes. Again, many of the builders, when we talk about mix of hollow core and solid core, for example, many of the builders use that opening price point of hollow core door. There's not a lot of over to go about the custom builders, obviously, a bit different there. So I don't know that there's a massive trade-down opportunity. Relative to smaller footprints, it's pretty interesting because we talk to a lot of builders. And you can imagine home blueprints -- and most of these track and model homes, you have options for the spare room, right? And you can make it a big bonus room or you can put a door on it and make it a bedroom or an office. There's the standard options that are allowed, what builders are telling us is and really sets the pandemic, people are choosing to make those open rooms, closed rooms because they need privacy. And if it's a closed room, you might want to add a closet. So you can make it a bedroom later if you want to. So even with square footage potentially coming down, although our recent data, and when I say recent, it's a couple of quarters old, suggests that houses were growing a bit, right, after 7 or 8 years of shrinking. But even with footprints coming down, as people decide to close that open space, it's a door. And when you keep in mind that 18, on average, 18 enter your doors per home, 1 door is 5%, right? And that's really important. So I know there was some talk recently about the fact that more doors would require either bigger homes or smaller rooms. I don't believe that's the case. I think that you closed that one open room, you have the exact same square footage, and you have 5% more interior doors. And anecdotally, we think that, that's a real opportunity.
Russ Tiejema: Yes. Steven, it’s Russ. I might just add that to the extent that there is a volume headwind on the horizon, it’s probably more as a result of this mix to multifamily versus single-family. And that’s been comprehended in the planning assumptions that we use for our guide this year.
Operator: Our next question comes from Tim Wojs with Baird.
Tim Wojs: Maybe just a strategic question. So just on your progress towards getting fair value for your products, maybe if you could just update us on where you think the organization is on that journey? And I think the structural improvement potential there has just been a little lost just given all the inflation and the pricing that we've seen over the last few years. Just maybe an update kind of on the opportunity that you still see on that front.
Howard Heckes: Yes. Great question, Tim. This is Howard. Our research shows, and we just this off periodically. In fact, just did recently that homeowners still expect to pay more for doors than they pay in the market. That means we're not being -- we're not capturing fair value for the door. Remember, and I've told you this 10 times, everybody else wants to listen as well that doors have historically been the invisible man of the home. People don't think about them. That changed during the pandemic. They now realize that there's value that doors can and should provide, privacy, security, ventilation, connectivity, et cetera. And so people are now aware and they also don't realize how cheap these products are really. And so our operating philosophy has been, for the last several years, to capture fair value for our products and to absolutely remain price cost favorable and to be paid appropriately. And that's going to be our philosophy going forward as well. So -- and it's important to remember that we're still absorbing elevated costs due to higher cost materials on the balance sheet. So we're not really seeing any deflation. We think that we're not yet capturing fair value for our product. We're trying to develop solutions that contractors and homeowners want and specify and all these things should lead to a higher value products, greater mix, greater AUP, et cetera.
Tim Wojs: Okay. Okay. Good. And then maybe just on free cash flow. Is working capital recovery really just the key driver of the free cash flow improvement in '23? And I guess, is there anything that's I guess, temporary or onetime in your view? Or is that a pretty reasonable basis of free cash flow to grow off of going forward?
Russ Tiejema: Tim, it’s Russ. I’ll take that. Working capital is a primary driver of cash flow improvements expected in 2023. But we don’t view it as necessarily quote on quote “onetime.” We think that there is – this is a multiyear process to drive much stronger free cash flow generation from the business. Now that working capital has never been an area that we haven’t focused on. But candidly, in the last 2 years, it’s been an area where our response has been to strategically invest in working capital, in particular, in inventory because in the face of very volatile supply chains, that was the way that we could best ensure service levels for our customers. So we carried much higher safety stocks for many of our raws than we would typically – we’re now at a point where the supply chains are healing to the extent. And between that and our global supply chain Our team’s strategy to further diversify our supply base, we think we’re in a position to start greening down safety stocks and surgically reduce inventory levels. That’s not the only focus area, though. We’ve got teams that are working on how we can optimize our accounts receivables and our accounts payables balances. And so over time, this is going to be a multiyear initiative. I think that there’s plenty of strength for us to continue driving free cash flow generation beyond 2023.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Mr. Heckes for closing comments.
Howard Heckes: Thank you, Maria, and thank you for joining us today. We appreciate your interest and continued support, and this concludes our call. Maria, we please provide the replay instructions.
Operator: Thank you for joining Masonite's Fourth Quarter 2022 Earnings Conference Call. This conference call has been recorded. The replay may be accessed until March 9. To access the replay, please dial (877) 660-6853 while in the U.S. or (201) 612-7415 outside of the U.S. Enter conference ID #13735243.